Paul Judd Bieber: Hello, and welcome to Karooooo's Q1 FY 2026 Earnings Call. On behalf of Karooooo, we would like to thank you for joining us today. I'm Paul Bieber, VP of Investor Relations and Strategic Finance. We are joined today by Zak Calisto, Founder and Group CEO; Hoeshin Goy, Chief Financial Officer; and Carmen Calisto Chief Strategy and Marketing Officer. I would like to remind everyone that some of the statements that we make today regarding our business, operations and financial performance may be considered forward-looking. Such statements are based on current expectations and assumptions. They are subject to several risks and uncertainties. Our actual results could differ materially. Please refer to the safe harbor statements in our Form 20-F, including the Risk Factors and the 6-K that we filed yesterday. We undertake no obligation to update any forward-looking statements. During this call, we will present both IFRS and non-IFRS financial measures. A reconciliation of non-IFRS to IFRS measures is included in the 6-K that we filed with the SEC yesterday. Our comments will refer to year-over-year comparisons unless we state otherwise. I will now pass the presentation over to Carmen.
Carmen Calisto: Welcome to Karooooo's Q1 FY '26 Financial Results Presentation. For those new to Karooooo, we operate a SaaS platform for connected vehicles and mobile assets that enables businesses to enhance operational efficiency, reduce costs, improve safety and ensure compliance. We help businesses simplify decision-making to optimize their physical operations. We serve a large underpenetrated market with strong sustained demand driven by digital transformation, a constant need to improve operational efficiency and an increasing focus on safety and compliance. We are founder-led business with a strong financial profile, a proven track record of execution excellence and cultural focus on disciplined capital allocation and operational efficiency. Our platform supports more than 2.4 million subscribers across more than 125,000 businesses in South Africa, Southeast Asia and Europe, spanning industries such as logistics, mining, agriculture, construction, retail and the public sector. Our financial model is anchored by attractive growth, high-margin subscription revenue, exceptional commercial ARR retention and powerful unit economics. Our Q1 FY '26 annual recurring revenue, or ARR, increased 18% to ZAR 4.57 million, and on a U.S. dollar basis, ARR increased 24% to USD 254 million. Subscription revenue accounted for 98% of Cartrack revenue and our commercial customer ARR retention rate remains at 95%. We continue to scale our proprietary data asset now generating over 220 billion data points monthly, which we leverage to deliver impactful insights and value to our customers. Finally, our LTV to CAC remained above 9x enabled by strong retention, disciplined capital allocation and efficient distribution, which are embedded in our vertically integrated business model and company culture. During our presentation, we will review both of Karooooo's operating segments, Cartrack and Karooooo Logistics. Cartrack is our operations management SaaS platform. Cartrack operates at scale and has a very attractive financial profile. Cartrack's operating momentum is the primary driver of Karooooo's growth and strong financial performance. In Q1, Cartrack delivered strong results, highlighted by accelerating subscription revenue growth across all regions. These results reflect the early returns from the strategic investments we've made in expanding our sales capacity in recent quarters. In Q1, Cartrack generated ZAR 1.1 billion in subscription revenue an increase of 19% or 24% on a U.S. dollar basis. Notably, Cartrack subscription revenue accelerated this quarter. Cartrack's operating profit margin was a healthy 30%. Karooooo Logistics is our rapidly growing delivery-as-a-service offering that empowers large enterprise customers to scale their e-commerce and logistics operations. Karooooo Logistics is showing strong growth and operating momentum and driving real value for our enterprise customers. We report Karooooo Logistics separately as the delivery-as-a-service offering differs from Cartrack SaaS financial profile. Karooooo Logistics is strategically important to us as it empowers our customers to scale their e-commerce and logistics operations through a capital-light model while driving high Cartrack customer retention. We continue to profitably scale the Karooooo logistics business. In Q1, Karooooo Logistics' Delivery-as-a-Service revenue reached ZAR 121 million, an increase of 20% or 26% on a U.S. dollar basis. Given Karooooo Logistics' robust revenue growth, we are very excited about the long-term growth opportunity. In Q1, Karooooo delivered total revenue of ZAR 1.277 million, an increase of 18%, subscription revenue of ZAR 1.141 million, an increase of 18%, earnings per share of ZAR 8.55, an increase of 19% and total subscribers of approximately 2.4 million, an increase of 17%. Cartrack subscription revenue growth of 19% and operating profit margin of 30% underpinned our stellar financial performance in Q1. It's noteworthy that Cartrack's operating profit margin was stable at 30% despite the increased investment in sales capacity and infrastructure to drive accelerating growth. Q1 continued our track record of delivering profitable growth at scale. In Q1, we were a Rule of 60 companies when adding our Cartrack subscription revenue growth of 19% and our Cartrack adjusted EBITDA margin of 46%. Before detailing our Q1 financial and operational accomplishments, we want to take a moment to underscore our distinctive financial profile, something that is exceptionally rare in the public markets, particularly among small cap companies. We believe we are among a select few SaaS companies operating at a Rule of 50-plus based on calendar year 2025 Gap Street estimates. Within a SaaS universe of approximately 160 companies we believe we are the only small cap company operating at this level. Being part of this elite group reflects our unwavering commitment to disciplined and profitable growth. Moving on to our Q1 financial and operational highlights. In Q1, SaaS ARR accelerated to 18% compared to Q4 FY '25s growth of 17%. On a U.S. dollar basis, Q1 SaaS ARR accelerated to 24% compared to Q4 FY '25s growth of 21%. Cartrack subscription revenue growth accelerated to 19% and compared to Q4 FY '25s growth of 16%. On a U.S. dollar basis, Cartrack subscription revenue accelerated to 24% compared to Q4's growth of 20%. Cartrack's total subscribers increased 17%, highlighted by stable growth in South Africa and an acceleration of growth in Southeast Asia to 22%. We also delivered record Q1 net subscriber additions. Q1 average revenue per user, or ARPU, increased 2% in ZAR or 6% on a U.S. dollar basis as we started to deliver on our aim to increase ARPU in South Africa in FY '26. Cartrack's operating profit margin was a healthy 30% and benefited from disciplined expense management and modest ARPU growth. Karooooo earnings per share of ZAR 8.55 increased 19%. We remained a Rule of 60 company and our balance sheet remains strong and unleveraged. We ended the quarter with net cash and cash equivalents of ZAR 1.103 million. Our healthy subscription growth margin, efficient customer acquisition and attractive commercial customer ARR retention rate continue to drive our healthy unit economics. In Q1, our subscription gross margin was 74%, our LTV to CAC ratio remained above 9x, and our commercial customer ARR retention rate was 95%. We are also experiencing attractive ARR growth with our retained customers. It's noteworthy that we accelerated our subscription revenue growth in Q1, while maintaining healthy unit economics. We are excited about our massive TAM and remain committed to profitable growth as we pursue the expansive growth opportunity ahead of us. We ended Q1 with approximately 1.8 million subscribers in South Africa an increase of 16%. South Africa subscription revenue comprised 70% of our total subscription revenue and South Africa's subscription revenue growth accelerated to 16%. We are encouraged by the strong teams that we are building in South Africa to accelerate organic growth, broaden our customer base and increase subscription sales to existing customers in the region, we continue to see a compelling market opportunity in South Africa, driven by ongoing digital transformation, rising demand for video solutions and the market expanding impact of Cartrack tag. With a trusted brand and an experienced team, we continue to see a compelling market opportunity in South Africa. We ended Q1 with approximately 290,000 subscribers in Southeast Asia and the Middle East, with most of the subscribers in Southeast Asia. Southeast Asia and the Middle East subscriber growth accelerated to 22% and is now 17% of our total subscription revenue. Southeast Asia continues to present the largest growth opportunity over the medium to long term and is our fastest-growing region. In Q1, Southeast Asia and the Middle East subscription revenue growth accelerated to 30%. We aim to increase our sales head count by 70% by February 2026 compared to February 2025. Our differentiated SaaS platform, growing brand equity built on superior customer service, service delivery and distribution and attractive regional macro trends should provide us with a solid foundation to drive continued growth and expansion in the region for many years to come. We believe Southeast Asia is a vast and underpenetrated market for sophisticated fleet management and video-based solutions, and we are excited about the vast growth for runway ahead. We ended Q1 with approximately 210,000 subscribers in Europe, an increase of 20%. Europe is now 10% of our total subscription revenue and European subscription revenue growth accelerated to 22%. On a constant currency basis, European subscription revenue growth accelerated to 20%. We have partnered with leading OEMs to provide easy access to our platform, seamlessly integrating their connected vehicle data to our platform through APIs. We expect these partnerships to contribute to our results in the medium to long term. In addition, we are experiencing encouraging demand for our proprietary compliance technology in the area as customers seek to simplify compliance with evolving legislation and enforcement. We continue to accelerate our organic growth, expand our customer base and increase subscription sales to existing customers in the region. In Q1, Karooooo Logistics continued to build scale and delivered revenue of ZAR 121 million, an increase of 20% and an 8% operating profit margin. Karooooo Logistics supports our strong financial performance by immersing our platform into large customers' operations, contributing to strong customer retention. Karooooo Logistics also enables us to learn about the operational and logistics challenges confronting our large customers. We see a large opportunity for Karooooo Logistics going forward as large businesses seek to increase their e-commerce offerings and optimize their logistics capabilities through a capital-light model. In Q1, we made good progress with our FY '26 priorities. First, we've begun strengthening our leadership position in South Africa by selling our video solutions and Cartrack tag to our existing customer base. This initiative has demonstrated early traction as reflected in a 2% ARPU increase in Q1. However, the dynamics on the ground are more nuanced while video and bundled Cartrack tags are positively contributing to ARPU expansion, sales momentum with stand-alone Cartrack tags, which carry a lower revenue per subscriber is partially offsetting the ARPU uplift. We remain confident in our long-term ability to grow ARPU in South Africa, though reaching our 10% ARPU growth target for FY '26 may take a little longer than initially expected as we continue to build our internal capabilities. Longer term, we believe there is potential to increase South African ARPU by significantly more than 10%. Second, we continue to expand our distribution footprint in Asia and Europe, we are seeing success in expanding our teams in the region. Finally, we continue to work with our customers globally to drive broader engagement with our platform and to capture the growing demand for video capabilities, including AI video. Capital allocation is a fundamental part of our culture, and we aim to remain disciplined with our capital allocation strategy, rooted in a 20-year culture of profitable growth at scale and prudent financial management. Key drivers of long-term shareholder value. Our capital allocation framework is unchanged and prioritizes. Organic growth and innovation. Our paramount priority is investing in organic growth and product innovation, given our strong unit economics, sustained profitability and large market opportunity. Returning capital to shareholders. At current growth rates, our business generates significant excess cash. With our strong balance sheet and net cash position, we aim to return surplus capital to shareholders when we cannot efficiently invest it for growth, primarily through an annual dividend. As to avoid doubt, management prioritizes growth over dividends. Strategic M&A. We take a prudent and strategic approach to M&A. We view M&A as a tool to accelerate time to market in key geographies, expand our product portfolio or strengthen our competitive position. However, given our compelling organic growth profile, customer-centric culture and attractive unit economics, we set a high bar for any potential acquisitions. M&A opportunities must offer clear strategic value or optionality to meet our criteria. Ultimately, we see it as our responsibility to allocate capital thoughtfully, always with the goal of maximizing long-term shareholder returns. I will now hand over to Hoeshin, who will discuss our Q1 financial performance.
Hoe Shin Goy: Thank you, Carmen. I will now discuss Karooooo's financial performance for quarter 1 FY 2026. Please note, my comments will refer to year-over-year comparisons unless we state otherwise. Our proven and profitable SaaS business model continued to deliver strong results in quarter 1. Karooooo's total subscription revenue increased 18% to ZAR 1,141 million. On U.S. dollar basis, Karooooo's subscription revenue increased 24%. Operating profit increased 17% to ZAR 352 million and adjusted earnings per share increased 19% and to ZAR 8.55. We will now focus on Cartrack's financial performance, which is fueled by SaaS revenue momentum. In quarter 1, Cartrack's revenue increased 18% to ZAR 1,156 million, and Cartrack's subscription revenue increased 19% to ZAR 1,138 million. Subscription revenue comprised 98% of Cartrack's total revenue. Quarter 1 ARR increased 18% and 24% in ZAR and U.S. dollar, respectively. Our ARR growth is slightly lower than Cartrack's subscription revenue growth due to several factors, including the impact of FX, timing and rounding. As you can see from the trend of the charts, Cartrack has a proven track record of scaling in varying macroeconomic conditions, given our consistent execution, resilient subscription revenue model and attractive historic retention rates. In quarter 1, Cartrack experienced healthy customer acquisition. Quarter 1 subscriber increased 17% to approximately 2.4 million. Subscription revenue increased 19% to ZAR 1,138 million, and operating profit increased 19% to a record ZAR 342 million. Cartrack experienced solid customer acquisition with record quarter 1 net subscriber addition of 84,000, an increase of 11%. Cartrack continued to grow its subscription revenue across geographies and subscription revenue growth accelerated across all regions. South Africa subscription revenue growth accelerated to 16%. Asia and Middle East subscription revenue growth accelerated to 30%, and Europe subscription revenue growth accelerated to 22%. The acceleration across regions reflects our execution track records and provides a solid foundation for continued growth. In quarter 1, total subscriber growth of 17% remained healthy, while SaaS ARR accelerated to 18% compared to 17% in quarter 4 FY 2025. We believe the acceleration in SaaS ARR reflects the underlying momentum in the business and signals that our strategic initiatives are gaining traction. Karooooo's earnings per share increased 19% to ZAR 8.55 in quarter 1. Earnings per share benefited from subscription revenue growth. In quarter 1, Cartrack's earnings per share contribution increased 20% to ZAR 8.37. Karooooo's Logistics earnings per share contribution was ZAR 0.18 despite the increased investment in driver training and quality control to support growth. In quarter 1, we resumed our significant free cash flow generation. Free cash flow was ZAR 338 million and benefited from disciplined working capital management. The free cash flow generated is in line with Karooooo disciplined capital allocation strategy and supports our future growth. Our balance sheet reflects our track record of growth at scale, profitability and cash generation. Our net cash on hand plus cash in bank fixed deposits was ZAR 1,103 million. Debtors collection days remained extremely healthy at 27 days and are within our historical norm. We are paying a total cash dividend of approximately $38.6 million to our shareholders in August 2025. That is a dividend of $1.25 per share. We believe that our ability to generate healthy cash flow is sustainable given our annuity business model, coupled with our track record of consistent execution and success. In FY 2026, we aim to accelerate Cartrack subscription revenue growth by further expanding our distribution footprint in existing markets, driving broader platform adoptions and capitalizing on growing demand for our AI video solutions. We are encouraged by our positive momentum in quarter 1 FY 2026, where subscription revenue accelerated to 19%, signaling that our strategic initiatives are gaining traction. With continued investment in sales, marketing and infrastructure, we believe we are well positioned to achieve our FY 2026 growth ambitions. Accordingly, we are reaffirming our previously provided FY 2026 outlook. A frequent question we received from investors focus on the trade-off between growth and margin profile. Our FY 2026 outlook details a range of growth and margin outcomes as we aim to accelerate our growth this year. Equally important, we believe it's insightful to examine how our financial model could perform in a 0 growth environment with stable customer retention. It is important to recognize that our current financial statements reflects the substantial upfront customer acquisition costs that appear in our sales and marketing expense line. While these costs are expensed immediately under IFRS, they support the acquisition of customers that typically remain with us for many years. The timing differential creates a meaningful mismatch between when we incurred customer acquisition costs and when we recognize the full revenue benefit or the lifetime value of our long-duration customer relationships. Currently, our LTV to CAC is more than 9x. In the hypothetical non-growth scenario, with consistent ARR retention patterns, we believe we would have the flexibility to significantly reduce our sales and marketing expenditure. This level could potentially drive our operating profit margins higher to approximately 38%, a substantial improvement from current levels as growth-oriented marketing expense are eliminated. In addition, the approximately 38% operating profit margin could potentially improve as it does not account for the potential additional benefit accrue from reduced depreciation and expansion expense in a non-growth environment. For additional context, our margin profile incorporates growth-related costs to increase our footprint and customer acquisition. Further, in a non-growth scenario, depreciation would decline slightly providing a further potential margin expansion opportunities. In closing, the underlying acceleration in the business reflects the strength of our operating model and early traction from strategic investment in sales capacity and customer acquisition. We have made deliberate choice to invest to enhance our distribution footprint, and we are beginning to see those efforts materialize. With continued execution, disciplined investment and growing regional performance, we believe that we are well positioned to deliver consistent and profitable long-term growth. With that, I will turn the presentation over to Zak Calisto for Q&A.
Isaias Jose Calisto: Thanks, Hoeshin. Sorry, I was having problems with my phone. Thank you very much. I'll just go through the questions that we have. The first question is from Joshua at Needham. If we look at the subscriber growth in South Africa, it was very consistent in the first quarter. Any color on the trajectory of the consumer growth for the balance of the year relative to the commercial subscriber growth? I think in South Africa, we're having really good traction both with commercial and consumer customer growth. And I believe that will continue for the rest of the year. So I'm not certain I'm giving you the answer that you're actually asking. But I think fundamentally, we're having very good traction on both consumer and commercial customers. Another question from Joshua. If we were to look at your Southeast Asia markets, are you seeing any impact to subscriber growth in these regions from the United States tariff impact as these are key sentiment for United States manufacturing? Or is it the local economic growth driving trends or adoption? Joshua, in my opinion, I don't believe that the tariff environment that the whole world is talking about is impacting our business at this point in time. And I think our growth in Southeast Asia is just because we're addressing the market and we're increasing our footprint. And fundamentally, I don't believe that will have an impact on us, but it might in the future, but I can't see it. Another question from Joshua. How should we think about the cross-sell of video and Cartrack relative to your expectations and subsequent impact on to ARR growth and ARPU growth for the balance of the fiscal year? We were hoping, Joshua, that we could actually increase our ARPU this year by around 6%, which would equate to about a 10% increase in South Africa. I think we've made good progress in Q1, and we are getting momentum on this and we might miss the 10% initial outlook, but I believe we are building the teams. We are building the muscle to be able to execute on this. Another question from Joshua. These -- it's not a question. These are my questions. Okay. Sorry, Joshua. A question from [indiscernible]. Please explain why you have chosen expansion in Southeast Asia rather than Africa, which I would suspect as less competition? I think we've expanded into Africa, mostly on the back to support our South African customers. And we believe that the market opportunity in Southeast Asia is far larger than in Africa. A question from Dylan Becker. On the accelerating subscription revenue, can you give us color on the mix between subscriber growth and cross-selling initiatives? I think we are getting the cross-selling initiatives, but probably the best way to look at it. That's given us an uplift of 2%. We're hoping that it will -- that will rise by Q4 to higher levels, and it's mostly new subscribers with an element of cross-selling. And I believe this cross-selling is going to pick up momentum as we get -- as we build the muscle to execute. Further, early validation of success as customers look to land more multiproduct and what can mean for broader stickiness retention throughout the platform? I think fundamentally, our customers we've got -- if you look at our retention rates, they are relatively high compared to our peers. So I do believe we've got significant stickiness. And I think what it really means for us is that if we don't add this extra level of service, then we might lose customers. So it really is not really about improving retention. It's more about keeping our retention rates. Another question from Dylan Becker. Update on hiring capacity plans. What does the typical ramp process look like for reps and how it can contribute to sustained levels of elevated subscription growth? Fundamentally, Dylan, as we increase the number of sales staff in a perfect world, you should have a correlation of one. And that is that if you increase your sales force by 50% or by 100%, then you should get 100% more net sales. And that would then trickle off into a lower percentage in your subscriber -- on your base subscriber growth. So in Asia, typically, if you're able to increase your salespeople by 70%, we then should get a subscriber growth of about 28% this year. And that's what we're working towards. Another question from Dylan Becker. Impressive data mode. As this continues to grow and expand and you continue to go deeper with customers with more products, how do you think about the ability to continue innovating, developing new products and driving even deeper value insights for customers? Dylan, that's fundamentally what we've been doing for years. The more data we have, the more information we can give our customers. And clearly, what we are offering today is much better than it was 5 years ago and substantially better than 10 years ago. And I believe in 5 years' time, we will be in a much better position than we're currently in as well. The next question from Alex from Raymond James. Can you talk about how the Southeast Asia hiring plans are trending year-to-date so far relatively to the 70% growth target? Alex, we're very much on target with our hiring plans. In some countries, we're a little bit behind. In other countries, we're ahead. So overall, I think we're on target. Are you expecting any change in productivity 6 to 12 months following these hiring efforts versus the past year? We certainly are. Otherwise, we wouldn't be doing it, and I believe we'll be able to deliver. Another question from Alex. How will the growth in ARPU from cross-selling video asset tags, analytics impact the LT EBIT margins for the Cartrack business? Fundamentally, the way we do our pricing is very much based on our operating profit margin. And we believe this ARPU that we -- increase in ARPU is not to increase productivity -- profitability margins. It will just increase our profits and increase our revenue, but it won't have an impact on the margins. It will just increase the ARPU and the ARU. But with that comes additional cost of sales and OpEx expenses. All Africa partners, would you like to increase the company's ownership of Karooooo Logistics? And if so, is there a route to doing so? Our agreement, our shareholders' agreement, we have the option to increase our shareholding. And that option comes into place in February 2026, and we'll evaluate it in 2026. And if we don't do it in FY '26, we will keep on evaluating it. A question from [ Jacob Schlider ]. Zak, can you please give us some color around the opportunity in Asia? You mentioned in the press release, you are growing the headcount there by 70%. Can you talk about the ramp-up process? Jakob, I think I've covered this question. Roy Campbell from Morgan Stanley. How is the Cartrack performance rollout in South Africa progressing? Roy, the tag is a phenomenal progress. It really is a game changer for us in the marketplace, and we keep -- we really are getting lots of traction with the Cartrack tag. And we believe it's early days in the bigger picture. So we're very excited about this product. It's working really well at this stage, and I believe it's going to be a game changer. Another question from Roy. The effective tax rate is quite low. Can you please detail the reasons and how this looks for the balance of the year? Roy, I haven't got the answer quite at my end. But fundamentally, we are benefiting from entities that are now becoming profitable and which had tax losses. I think those are the questions. Thank you very much for everybody for joining us today. Thank you. Bye-bye.